Nik Kershaw: Good afternoon and good morning, everyone. Welcome to VEON's Second Quarter Results Presentation for the period ending 30 June 2022. I'm Nik Kershaw of VEON's Investor Relations. I'm pleased to be joined on the line today by Kaan Terzioğlu, our Group CEO; along with our Group CFO, Serkan Okandan. Today's presentation will begin with the key highlights and business update from Kaan. Following this, Serkan will discuss the detailed financial results and then hand it back to Kaan to discuss our outlook and priorities for the rest of the year.  Before getting started, I'd like to remind you that we may make forward-looking statements during today's presentation, which involves certain risks and uncertainties. Certain factors may cause actual results to differ materially from those forward-looking statements, including the risks detailed in the company's annual report on Form 20-F and other recent public filings made by the company with the SEC. The earnings release and the earnings presentation, each of which includes reconciliations of non-IFRS financial measures presented today can be downloaded from our website. With that, let me hand over to Kaan.
Kaan Terzioğlu: Thank you, Nik. Good morning all and welcome to the presentation of our second quarter results. The second quarter of this year has been a time where we have seen the full weight of the current geopolitical challenges. So our teams have shown an exceptional focus and our business as a whole has shown impressive resilience as we are about to share with you in today's presentation. Before we delve into the numbers, I would like to thank all our team and especially our colleagues in Ukraine who are keeping Kyivstar's customers and the broader communities connected at home and abroad. I would like to also thank our shareholders and investors for their continued confidence in our business. We continue to work with tremendous focus to protect and grow the value of our company for all our stakeholders. Now let us review some key figures for the quarter. Group revenues grew by 6% year-on-year on a local currency basis with service revenue up 7.5% year-on-year. Reported revenues in U.S. dollars were up 5.6% for total revenues and 7.1% for services revenues. I'm especially glad to see that local currency revenue growth for markets, excluding Russia and Ukraine, was 13.3%. EBITDA for the quarter was up 14.1% year-on-year in local currency and 13% on a reported basis. Local currency EBITDA growth for markets, excluding Russia and Ukraine, was 22.6%. CapEx was $382 million, down 21.5% year-on-year. As we noted during Q1, CapEx for the full year will be lower than we previously talked about and anticipated. Importantly, we continue to maintain a healthy cash position. None of our operations currently require funding from headquarters. In addition to this, we have $1.9 billion in cash held at headquarters level. Let us now move on to operational performance, 4G and digital operator growth. On this slide, you see that we delivered a well-balanced growth in the quarter as we expanded our total customer base by 2.7% while increasing ARPU across all markets by 5.7% year-on-year. Our 4G users increased by 3.2% year-on-year. With 102 million 4G subscribers, we have now passed the 50% 4G penetration milestone. We are making good progress towards the 70% penetration mark that is our target for the group. With significantly higher ARPU and lower churn, 4G users are at the core of our growth. Driven by the increasing penetration of 4G, in the second quarter of this year our data and digital revenues were up 17% year-on-year in local currency terms. This is nearly 3x the pace of overall local currency revenue growth. Our continued investment in 4G is an important enabler of this growth and our digital operator strategy, which I will expand on in the next slide. Looking to our digital operator strategy. Our multiplay subscribers, who are consumers of at least one of our digital services on top of our 4G data and voice services, have increased 25% year-on-year and reached 31 million. These 31 million customers account for 19% of our overall base and they delivered 38% of our subscriber revenues showing their high revenue generation potential. Not surprisingly in the second quarter, ARPU of multiplay customers was 4x the ARPU of a single play voice customer and their churn was 1/3 of the churn of voice-only customers. Moving into country-by-country picture. We achieved service revenue growth across all our operations supported by a higher subscriber base, higher 4G penetration, increased engagement with our digital applications and disciplined inflationary pricing. We also saw good momentum across most markets in terms of EBITDA with 4 of our markets; Uzbekistan, Kazakhstan, Pakistan and Russia; reporting double-digit local currency EBITDA growth. Let me now take you through the individual performances for each of our large markets. I will start with Ukraine on Slide 10. The work of Ukraine continues to be extraordinary. The safety and security of our employees remains our top priority and they continue to do a tremendous job in keeping Ukraine connected. I'm sad to report that we have lost a second Kyivstar employee to the current conflict. Let me take a moment to remember the ones we lost. More than 90% of the Kyivstar network sites remain operational with more than 4,100 base stations repaired. Since February 3 -- since February beginning of the conflict, 3,000 base stations have been upgraded to 4G and some new 230 new base stations were built across the country. Network sharing amongst the domestic operators remains in place and the government has allocated additional frequency to all operators supporting service quality. Millions of Ukrainians remain outside the country and we continue to support these customers with services such as roam like home. Nearly 6 million customers have benefited from Kyivstar's roaming services over the course of last 4 months. I would like to thank our roaming partners, especially our fellow operators in Europe and our industry association GSMA, for the solidarity they have shown in making roaming services accessible and affordable. Notwithstanding the current uncertainties, Kyivstar continues to increase its 4G customer base in line with the Kyivstar strategy of 4G Everywhere. Kyivstar continues to focus on supporting customers with mobile education and mobile health platforms. In these exceptional circumstances, Kyivstar has delivered another quarter of solid results with a revenue growth of 3.9%. Given the current operating environment, including exceptional costs due to our employee support programs and the change in profile of our revenue streams, EBITDA was down 4.8% year-on-year. Moving on to Russia, Slide 11. The Beeline team continues to focus on providing essential connectivity services to our 47 million subscribers. 92% of our Russian revenues are related to providing these telecom services, essential services in humanitarian nature. Beeline recorded year-on-year growth in terms of both service revenue and EBITDA. Total revenues were impacted by lower handset sales, service revenues rose 2.4% year-on-year and EBITDA increased by 11.6%. Beeline's extensive network rollout over the previous two years has proven to be of fundamental importance. Today, Beeline has 25.5 million 4G users, higher than the previous year by 5.4%. 4G users now account for 58% of Beeline's total subscriber base. We did note the impact of the recent volatility of Russia's currency. The strengthening of the ruble positively impacted its revenue numbers in reported currency, which increased 12.2% year-on-year in U.S. dollar terms. Let's move to Pakistan where we continue to gain market share. It is encouraging to see Jazz growing at double-digit pace with total revenues up 11.1% year-on-year, which is doubling the rate of the overall market growth. This was achieved despite 5 percentage point increase in withholdings tax and 30% reduction in mobile termination rates. In Q2, Jazz reached a 50% threshold for penetration of 4G customers in our base. 18% of our subscribers are multiplay customers consuming at least 1 of our digital services like JazzCash and Tamasha, our entertainment platform. This 18% multiplay subscriber base accounts for 37% of our subscriber revenues in Pakistan. Local currency EBITDA was up 19.8% year-on-year and after adjusting some of the one-off items, including SIM tax reversals and license charges of Warid, normalized EBITDA growth was 13.8%. This was supported also by improved EBITDA performance from Mobilink Bank. JazzCash continued to grow in Q2 with monthly active users up 23% year-on-year reaching 16.2 million. The ARPU for users of JazzCash among Jazz subscribers is 36% higher than the average Jazz ARPU. For Tamasha, monthly active users increased 96% year-on-year and 61% quarter-on-quarter reaching by the end of June 1.6 million. Here we are today end of July already reaching 2 million. Total watch time increased an impressive 16-fold year-on-year. Tamasha users' ARPU is 2.4x higher than the average Jazz ARPU. Let's turn to Kazakhstan on the next slide. Q2 was another successful quarter for Kazakhstan with both total revenue and EBITDA growth above 20%. This was Beeline Kazakhstan's fifth consecutive quarter of growth above 20% as they continue to gain market share. With 69% penetration of 4G users in our customer base, Kazakhstan is almost now at the group target of 70%. The strong 4G penetration continues to contribute to the exceptional performance in revenue and EBITDA. In Q2, growth of our data and digital revenues were 35.8% driven by the higher use of our digital application and increase in the number of our multiplay customers. Our financial services offering Simply reached 115,000 monthly active users since its launch in June 2021 and our second brand digital-only brand izi now exceeds 122,000 monthly active users. The success of this and other digital services in Kazakhstan pushed our ARPU 24.3% year-on-year. Bangladesh: our decision to accelerate the network investments in Bangladesh is delivering results. For the first time, Banglalink recorded double-digit growth in quarterly revenues 11.1% year-on-year. Competitive analysis for the quarter shows Banglalink's leadership in terms of both revenue and market share growth and we expect the market share growth to continue in the quarter. Banglalink increased revenues at 2x of the amount of the overall total market. Banglalink is not anymore the fastest network in the country, but it is the fastest growing company. Our 4G subscriber base was up 36.3% reaching 13.5 million. Over the past 2 years, our 4G penetration has more than doubled from 18% to 36%. Driven by higher revenue generation of our 4G users, data revenues increased by 22.5%. With our video platform Toffee and MyBanglalink self-care application, Banglalink have grown their multiplayer base to 9%, who now more than -- who now account for more than 20% of our subscriber revenues. Uzbekistan: following a remarkable turnaround, Beeline continues to entrench its success with another quarter of solid results. Beeline Uzbekistan continues to make market share gains and remains to be the #1 operator in the country. In Q2, revenues grew 25.2% while EBITDA was impacted by a number of one-off items delivering a 4-digit growth. Normalized EBITDA was up 4.5% year-on-year as Beeline Uzbekistan continues to build capacity for sustained growth and to serve its growing network. 4G subscribers reached 4.8 million with a penetration rate of 62%, an 8 percentage point increase year-on-year. This in turn supported 39.2% in data revenues, which are a key driver of our overall performance. I want to highlight the importance of the growth in multiplay customer base and revenues generated from them, which is exactly as we have defined in our Capital Markets Day back in November. Let me also talk a little bit about crystallizing the infrastructure value. On this slide, you are seeing our progress across a number of our markets and we see this opportunity to unlock further value for our stakeholders while at the same time supporting group liquidity. Our actions for our tower base is not necessarily driven by liquidity requirements, but the fact that no operator in the world today can afford to have exclusive networks and towers are meant to be managed-operated by independent tower companies that can serve multiple operators in a country. In Pakistan, Kazakhstan and Ukraine, we already have legal entities in place while in Bangladesh and Uzbekistan, the process is moving forward. We are aiming to announce a number of tower deals over the next year. Let's now look at some of our digital products. On the fintech side, JazzCash increased its active user base by 23.2% year-on-year serving 16.2 million customers and now also serving 157,000 merchants, more than doubling over the last year. The total number of transactions processed by JazzCash in second quarter reached 512 million, up 35% year-on-year. Gross transaction value for the last 12 months was close to PKR3.7 trillion, up 29.3% year-on-year. We currently offer microfinance products through Mobilink Bank and our application for a digital banking license is expected to support us on our journey to a financially inclusive Pakistan. Looking at Entertainment Services, Banglalink's Toffee is the #1 entertainment platform in the country and it grew 36.8% year-on-year to 6.8 million users. Daily active users, a key engagement metric, almost doubled year-on-year to 2.9 million. Over 75% of Toffee's user base are non-Banglalink customers with an average watch session of 19 minutes per day. The entertainment platform Tamasha in Pakistan now has 1.6 million active users, up 95.5% year-on-year and as I mentioned to you, even monthly growth is eye opening. We have reached already by end of July, 2 million monthly active users. Let me pause there and hand the call over to Serkan to discuss our first -- second quarter financial results in more detail.
Serkan Okandan: Thanks, Kaan. Good morning and good afternoon to everyone. In the following slides, I will elaborate on the financial highlights for our second quarter and first half year results in more detail. For the first half of 2022, we reported solid local currency growth in both revenues and EBITDA. Service revenues and EBITDA were up by 8.2% and 9.9% year-over-year, respectively. As we noted with our first quarter results, CapEx for this year will be lower than we originally anticipated and also lower than last year. For the first 6 months, CapEx was USD750 million, down by 14.7% year-over-year. The higher reported EBITDA and lower CapEx compared to last year resulted in USD550 million unlevered free cash flow whereas EFCF for the first six months was approximately breakeven. Moving to Slide 20, which covers the same metrics, but for the second quarter alone. Similar to the half year results, we saw strong local currency performance in both revenues and EBITDA with the same trends in CapEx and cash flow. On the coming slides, I will discuss the quarterly performance in more detail. Moving first to revenues on Slide 21. Second quarter showed solid service revenue performance across all our markets especially with Uzbekistan, Kazakhstan, Bangladesh and Pakistan, all delivering double-digit growth. In Ukraine, we achieved 3.9% year-over-year revenue growth despite the current operating environment. And as mentioned by Kaan, this is a testament to our team in Ukraine. In Russia, reported revenue was negatively impacted by lower handset sales due to supply chain issues while service revenues were up by 2.4% year-over-year. Our non-telco related revenues in Russia constitute 8% of total group reported revenue. In Pakistan, revenues were up by 11.1% year-over-year. The strong revenue growth in Pakistan comes despite changes in taxation legislation and the reduction in mobile termination rates, which impacted revenues negatively. The overall revenue performance for the quarter was supported by strong 4G adaption, a continued increase in data usage and various pricing initiatives. Moving on to Slide 22, which outlines our EBITDA performance in greater detail. Local currency EBITDA was up by 14.1% year-over-year although this was impacted by a number of one-off items, which Kaan has already covered. The underlying performance remains strong and adjusting for these one-offs, normalized EBITDA would be up by 10.7% year-over-year, which is a very solid result. Uzbekistan, Kazakhstan, Pakistan and Russia, all reported double-digit local currency EBITDA growth. It is important to note that the double-digit EBITDA growth in Russia now marks the fifth consecutive quarter of growth. Similar to the first quarter, energy costs remain a challenge in multiple countries. Energy costs rose around 21% year-over-year, which is a significant increase for this expense line. However, we remained focused on cost control and as a result, EBITDA margins were up by 3 percentage points year-over-year. Turning now to Slide 23, I will cover some important balance sheet metrics. Our total cash position stands at USD2.3 billion with USD1.9 billion at the headquarter level. This position is held in both U.S. dollar and euro and highlights the group's continued strong liquidity position. Regarding the Algeria put option, we have completed all of the steps and the deal has been signed. The payment is also guaranteed by the Algerian government. The transaction will officially close upon receipt of the USD682 million. Our leverage ratio was largely impacted by the appreciation of the ruble against U.S. dollar during the second quarter. At the group level, gross debt was similarly impacted by the stronger ruble. I would point out that at the headquarter level, our net debt is around USD4.1 billion. Moving to Slide 24, which shows our debt and liquidity positions in more detail. Our gross debt excluding leases increased to USD8.7 billion with a total cash position of USD2.3 billion. As I previously mentioned, USD1.9 billion of total cash is at the HQ level. Our net debt currently stands at USD6.4 billion excluding leases and USD3.6 billion in capitalized leases. Looking at the currency breakdown, 41% of net debt before leases and 78% of our leases are denominated in ruble. Turning now to Slide 25, which summarize the debt and liquidity of our operations in Russia. Gross debt excluding leases is USD2.8 billion, of which USD900 million represents intercompany debt to HQ. The leverage excluding leases is 2.27x. After adjusting for capitalized leases of $2.8 billion, leverage ratio is 3.2x. Moving to Slide 26 where we outline the group's debt maturity schedule. As you can see from this chart, we have a favorable maturity schedule for the near term with no further material repayments at the HQ level for the remainder of this year. The revolving credit facility can be rolled each period until final maturity in '24 and '25. Our next upcoming obligation is a USD529 million bond maturing in Q1 next year followed by a $700 million bond in Q2 next year. You may also see on the left side of the slide that our current cash position is USD2.3 billion. It is important to note that we continue to meet all our legal obligations for all interest and principal payments due on our debt in a timely fashion. Turning to Slide 27, which details changes in our cost of debt and average debt maturity. The increase in our cost of borrowing through to Q1 this year was due to increase in our local currency funding focusing to align currencies of our debt with revenues in respective operations. In the second quarter, we completed the drawdown of the RCF in U.S. dollar, which led our average cost of debt to reduce to 7%. However, the rising interest rates globally will put further pressure on our cost of funding in local currencies, which have floating interest rate portions as well. Meanwhile, our average debt maturity remains stable at 3.2 years. Let me now hand back over to Kaan for closing remarks. Thank you.
Kaan Terzioğlu: Thank you, Serkan. Let me close our presentation with a reminder of our priorities. Protecting our people continues to be the #1 priority for our group. Keeping our customers connected, #2 priority, and we are the providers of an essential humanitarian service helping to keep 218 million customers in 8 countries connected. Third priority, cash generation and preservation. Throughout these challenging times we will continue to protect the good standing of our company, providing appropriate liquidity and capital structure. Number four, driving growth. We are not compromising from our growth aspirations as we shared with yourselves in November Capital Markets Day. All our businesses continue to deliver growth as we transition to becoming an asset-light digital operator. And finally, managing our portfolio. Our active portfolio management remains focused on monetization opportunities in line with the strategy of growth that we have shared with yourselves. With that, I would like to thank you for your attention and I will hand over to Nik so we can move on to Q&A session.
A - Nik Kershaw : Good afternoon, everyone. Thanks very much for your time again. We've received a number of questions ahead of time and also a number have come through on Zoom while we've been talking. The one question that has come up multiple times, including actually from Snowcap, from Barclays and also a number of people on Zoom, Serkan capital decline. Just confirm again the status on the Algeria put option and really just an update on timing there?
Kaan Terzioğlu: Thank you for the question. As we have informed you in the last call as well, the evaluation process of our stake in Djezzy has been totally completed in line with the shareholders' agreements and we are waiting to receive cash, as of now which we have not received, but there are no open issues or conflicts as we speak. We hope to complete the transaction once we receive the cash in our accounts.
Nik Kershaw : And then Serkan, a question for you from Cyrus. I mean, would you consider buying back the 2023 bonds given the current pricing and any plans around those bonds?
Serkan Okandan : Since the beginning of this year, our focus is to keep a strong liquidity position at the HQ level and as a result of this focus, we built up USD1.9 billion available liquidity at the HQ level as of now. Having said that, in the meantime we are also currently evaluating various options around our total debt structure in a holistic manner.
Nik Kershaw : Then from [Monika] Asset Management. Kaan, what is the current position of VEON given the statement we've seen on Bloomberg around sanctions?
Kaan Terzioğlu: Let me be very open. VEON is currently not the target of U.S., EU or U.K. sanction laws. We are aware that Bloomberg has opined that our securities might be subject to U.S. sanctions or restrictions. We did not have an advanced notice on this and our legal team is assessing the impact of Bloomberg's opinion. We are fully committed and we are in compliance with all applicable sanction laws and we are looking into this issue with our legal team to carefully review the full range of options to enable VEON to address this matter.
Nik Kershaw : And then a question from Prosperity again for you, Kaan. What is the situation with the CapEx rollout in Russia, particularly given that we've seen some of the other operators have commented that they've procured a lot of CapEx ahead of time? Can you maybe just update us on the CapEx plans around Russia?
Kaan Terzioğlu: I cannot of course comment on other operators. But the last 2 years for us was heavy investment years in terms of modernizing our network, which allowed us to have the most modern and new network available. The current export controls will be impacting all operators at an equal way. So I do not see this as a potential competitive dynamics changing issue.
Nik Kershaw : Then a couple of questions from Shark Capital. The first one is what can VEON do to unlock further value for the group?
Kaan Terzioğlu: And my sincere thanks to Shark Capital and their continued support for us. Let me maybe take point by point. First on Algeria. As I mentioned, the final closing of the transaction will happen on the receipt of our cash settlement. We are expecting $682 million and the procedure is on track and hopefully will be materializing soon. I have also mentioned that our strategy in terms of becoming an asset-light company and our towers that we hold in multiple jurisdictions represent a serious opportunity for us to monetize certain sleeping assets in our balance sheet and we are on track with these transactions and hope to report news on the next 12 months. We also consider optimizing our portfolio based on the criteria we have in terms of markets that we want to be operating. As you noticed, we are specialized in large population, significantly low penetration of 4G and smartphone penetration and access to adjacent markets like financial services, entertainment services, health care and education is in place. And we will be looking, optimizing our portfolio for the markets that do not fit into that. So you might see also certain portfolio changes as we progress and we will of course keep you up to date. As also we look into our markets, the digital assets that we own represent significant opportunities. Whether in fintech area or entertainment area, the businesses that we have like JazzCash, like Tamasha, like Toffee represents significant values and we will be also looking for strategic partnerships in these areas that will generate liquidity for our company. We also continue to consider strategic options in relation to our portfolio to unlock value that will benefit our stakeholders. We would like to highlight that it is our ultimate responsibility and accountability and we are committed to creating value for our shareholders and protect the rights of our creditors and continue executing on our strategy of growth. At this point, I would like to stop there.
Nik Kershaw : Kaan, could you also maybe comment around the ability to increase prices, particularly if you look at a market like Pakistan where the inflation is so high?
Kaan Terzioğlu: I'm glad to report to you that about two days ago we had the special approval also from the regulator in Pakistan to adjust our pricing reflecting the increases in the cost structures. An overall average price increase of 14% will allow us to catch up with the inflation. But I would like to highlight that we are extremely disciplined on inflationary pricing and we consider pricing power as one of the key criteria to stay and to function in the markets that we operate. From that perspective, I take that news very positive in Pakistan.
Nik Kershaw : Serkan, this is from [XO]. Have you been able to make coupon payments from Russia on the intercompany debt?
Serkan Okandan : Yes, Nik. We have been able to receiving the interest payments from our Russian subsidiary when they became due and this is being done by following the official process in Russia, which means by applying a license from the Ministry of Finance in Russia. But so far, we haven't experienced any problem with that.
Nik Kershaw : And then, Kaan, back to you. Question from a number of people as well and also from Barclays. Can you just maybe comment on the process to separate out Kazakhstan?
Kaan Terzioğlu: Sure. As we discussed in Q1 update as well, our operating subsidiary in Kazakhstan is indeed currently held through our company VimpelCom in Russia. As we have been simplifying our group structure, we have already taken ownership of Armenia, Georgia, Uzbekistan and Kyrgyzstan from VimpelCom and we are already in the process of also doing the same for Kazakhstan.
Nik Kershaw : Thanks very much. I think for now that's all we have time for. I know there have been a number of other questions that have come through on Zoom. I will get back to everyone individually. And if there's further questions, please feel free to reach out. Thank you very much, everyone, for dialing in and thanks for your time.
Kaan Terzioğlu: Thank you.
Serkan Okandan : Thank you.